Operator: Welcome to the Fourth Quarter Year-End Investor Conference Call. [Operator Instructions]. Legal counsel requires us to advice that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company’s annual information form as filed with the Canadian Securities Administrators and in the company’s Annual Report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today’s call is being recorded. Today is Wednesday, February 11, 2015. At this time, for opening remarks and introductions, I would like to turn the call over to the Founder and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, Operator and welcome everyone. With me today here is Scott Patterson, President and Chief Operating Officer and John Friedrichsen, Senior Vice President and Chief Financial Officer. We’re here today to talk about our record fourth quarter and year-end results but we’re also here to discuss an exciting development in the history of our company. First our results, for the year global revenue reached a record $2.7 billion, EBITDA of 222 million also set a new high and adjusted earnings per share came in at $2.73 per share up 28% over the prior year. We also announced that our board has approved the plan in principal to separate FirstService into two independent standalone public companies. Colliers International, one of the top three global players in commercial real estate and what we’re calling new FirstService Corporation, the largest North American provider of residential property management services as well as a leading provider of property services. After giving effect of the separation, FirstService Corporation will be comprised of the former FirstService Residential management and the FirstService brands operating units. The sign-off planned is a tax free distribution to shareholders will create two strong industry leaders with distinct businesses and financial profiles. The completion of the transaction is scheduled for the end of the second quarter of this year. I look forward to discussing this milestone with all of you in more detail in just a few minutes and for your information we posted a slide presentation at our investor section of our website under newsroom at www.firstservice.com with more details of the proposed transaction. Let me begin by turning things over to John for a discussion of our fourth quarter and year-end financial results and then Scott who will provide his business review. John?
John Friedrichsen: Thank you, Jay. As we reported in our earnings press release issued earlier this morning and Jay already covered in his opening remarks, FirstService reported a record operating results in our fourth quarter and full year 2014. Results were led by the strong performance at Colliers and Commercial Real Estate accompanied by solid contributions from our residential, management, property services business. Here are the highlights of our consolidated results from continuing operations. Revenues totaled 824 million in the quarter up 22% on a local currency basis compared to 692 million in the fourth quarter last year, with internal growth of 15%. For the full year in 2014 revenues totaled 2.71 billion compared to 2.34 billion last year up 18% again on a local currency basis, 12% internally and the balance from acquisitions. Adjusted EBITDA for the quarter was 80 million up 10% from 73 million in Q4 of last year, for the full year adjusted EBITDA totaled 222 million up 21% from the 184 million reported in 2013. And finally adjusted EPS came in at a $1.16 per share in the fourth quarter, an increase of 21% over the $0.96 posted last year. For the full year adjusted EPS was $2.73 up 28% compared to $2.13 reported for 2013. As outlined in prior conference calls and detailing our press release this morning, there are several adjustments made from GAAP earnings per share to determine our reported adjusted earnings per share all of which are consist with those disclosed in past reporting periods. With the recent strength in the U.S. dollar and concurrent weakening of other currencies including the euro, pound, sterling and the Canadian and Australia dollars, foreign exchange has negatively impacted many companies reporting U.S. dollars and carrying on business internationally. For FirstService the impact in foreign exchange volatility is primarily in our commercial real estate operations were approximately 70% of our annual revenues are denominated in non-U.S. currencies. Our revenues and expenses are matched in the same currencies in our foreign operations and therefore mitigate any cash impact in operating results. We have seen revenues and expenses translating into fewer U.S. dollars, our reporting currency. For 2014, the negative impact was approximately 35 million on revenues and 5.5 million on EBITDA of which approximately half of these amounts related to Q4. Based on the current exchange rates holding, the balance of 2015 applied to translate the same level of revenue EBITDA and in global currencies across our commercial real estate operations, the reduction in revenue and EBITDA would be approximately double that of 2014 in the current year. Now turning back to results for 2014 FirstService finished with exceptionally strong cash flow from operations and at all-time highs, generating 57 million in Q4, up 46% before working capital changes and a 151 million for the year up 53% over 2013. Net of working capital changes related to our strong finish to the year, cash flow from operations totaled a 159 million versus a 116 million up 37% for the year. Investment and financing activity during 2014 included 108 million net of cash acquired to fund the upfront investment in acquisitions and $36 million to increase our stake in existing businesses, compared to about 38 million and 6 million respectively last year. In addition we paid another 26 million in earn-out payments related to previously completed acquisitions. CapEx for 2014 came in slightly higher than expected at 52 million which included expenditures related to our new office for Colliers in New York of approximately 10 million. For 2015 we anticipate our total CapEx across all of our operations to be in the $40 million to $45 million range. Turning to our balance sheet, our net debt position at the end of the year was 337 million up from 230 million at the end of 2013 while our leverage ratio expressed in terms of net debt to trailing 12 month adjusted EBITDA was 1.4 times up from 1.2 times a year ago. Despite the substantial investment activity in 2014 our financial leverage remains at a very moderate level and range - and well within our range over the past five years 1.2 to 2.5 times. We expect our leverage level will increase somewhat at the end of Q1 based on seasonal cash requirements and contingent earn out payments to be made that relate to previously completed acquisitions. However it will remain toward the a low end of our historic range providing ample support for our growth related capital requirements. In fact, with combined cash on hand and availability under our revolving credit facility at the end of 2014 of over 300 million and our low leverage our balance sheet and liquidity has never been stronger and enviable position to say the least. As we continue to carefully and strategically deploy capital to execute on our growth initiatives. We finished 2014 with a strong balance sheet, a simpler capital structure and strong momentum all of which provide a strong financial foundation for the future which has become more interesting and exciting with yesterday's announcement. Now I would like to turn things over to Scott for his comments. Scott?
Scott Patterson: Thank you, John. Good morning everyone. Let me start my divisional review with Colliers as I usually do and I will focus my comments on the fourth quarter operating performance. As you have heard Colliers has finished the year very strongly, well ahead of expectation. Revenues were 542 million up 28% over the prior year, organic growth was exceptional at 20% in local currency and that is compared to a record fourth quarter for Colliers in the prior year. The strong results reflect buoyant markets and increases in market share in each of our three regions. Organic growth was driven by very strong brokerage activity particularly investment sales. Globally commission revenues on investment sales were up over 30% versus the prior year with leasing revenues up 14%. Investment sales activity was particularly strong in the U.S., the UK, Germany and Australia and New Zealand. Taking a closer look at our Americas region, revenues were up 15% in local currency driven by strong investment sales and supported by high single digit increases in leasing across North America. Virtually every market in business line in the U.S. and Canada was up year-over-year with particular strength in major markets in the west plus Chicago, Washington DC and Dallas. Strength in North America was tempered by revenue declines in Latin America due to tepid markets and currency weakness across the region. In our Asia Pac region revenues were up 24% in local currency primarily the result of very strong brokerage activity in Australia and New Zealand and strong leasing results in Asia. Revenues in [inaudible] were up over 30% in local currency driven by record level investment sales in both countries. Revenues for the balance of Asia Pac were up 7% driven by double digit growth in leasing revenues which were particularly strong in China and Hong Kong. Turning to our Europe region revenues for the quarter were up 69% with the inclusion of AOS Group which was acquired effective October 1. AOS Group is a commercial real estate and workplace consulting firm based in Paris with a market leading position in France and Belgium and offices in Spain, Morocco, UK, Netherlands and Switzerland. AOS and other acquisitions in Europe during the year accounted for 50% of the revenue growth for the quarter with the balance approximately 20% coming from organic growth driven by primarily by very strong investment sales in the UK and Germany. Colliers EBITDA for the quarter was 72.4 million or 13.4% compared to 61.2 million and 14.1% in the prior year, the margin for the year hit 9.9% compared to 8.8% in 2013. In summary we had a stellar quarter at Colliers and our momentum and pipelines remain very healthy into Q1 of this year. Moving on to FirstService Residential, we generated revenues of 228 million for the quarter up 10% from 208 million in the prior year. Organic growth for the quarter and the year was 7% primarily reflecting new contract wins and increases in recurring management fees. Growth was broad based and spread equally across our North American footprint. Our EBITDA margin in the quarter was 3% down from 5% in the prior year primarily due to employee health benefit cost which matched our forecast for the quarter but are approximately $3 million higher than prior year levels. For the year our margin is 5% compared to 6.3% in 2013. As I mentioned in our last conference call, our health benefit plans have been adjusted heading into 2015 to better align with market and include appropriately sharing of cost with our associates and clients. This effectively resets the burden that we absorbed to market levels and we expect our margin in 2015 will reflect this and climb back to a normalized level between 6.5% and 7%. Let me now turn to our property services division which consist of our well known franchise brands, company owned California Closed operations and Service America, a whole service air conditioning, appliance and plumbing service company based in Florida. Revenues in this division were 54.3 million for the quarter up 8% over the prior year, 5% organic growth plus the impact of our Paul Davis Canada acquisition which closed during the second quarter this year. Organic growth was led by solid double digit increases at California Closets, Paul Davis restoration and CertaPro Painters offset impart by modest revenue declines at Service America off a tough comparative fourth quarter in 2013. Our margin for the second quarter was 16.7% approximately flat with the prior year quarter. That concludes my prepared comments on operations and I would now like to pass the baton back to Jay to talk about the exciting news we announced yesterday.
Jay Hennick: Thank you, Scott and John. As you might imagine as the Founder of FirstService Corporation I'm particularly excited about this important milestone in our industry and extremely proud of what we have been able to accomplish for our shareholders. With significant insight or ownership and an experienced management team, FirstService has established a proven track record of performance creating value and superior returns for its shareholders since listing our company in 1993. For more than 20 years our shareholders have enjoyed compound annual returns of more than 20% on their investment and in fact a $100,000 investment in FirstService shares when we first listed is now worth more than $3.2 million today. Creating value one step at a time has long been our corporate motto and our results over the long term are proved positive that the first service way of operating is anything but ordinary. I’ve no doubt that this culture of performance will condition at Colliers and FirstService and each of these companies will continue to pursue a growth strategy in the future that will be aligned with this culture of performance. Over the years we have undertaken a disciplined approach to our growth building a well-managed and profitable real estate services company. But we have also undertaken bold moves when the time was right to position ourselves for the future including recently rebranding operations and divesting of non-core assets to name a few. Today we take the next logical step forward in our evolution which we think will unlock even greater value for our shareholders. Our plan to separate FirstService into two strong market leading independent public companies is one that we’re most proud of. Let me now refer you to the slide presentation on our website which might help you follow along the way. Colliers International is one of the three global leaders in commercial real estate, once the separation is completed Colliers will be one of only three global publically traded commercial real estate organizations. And FirstService Corporation the North America leader and residential property management also has a very significant property services operation as well. FirstService will be comprised of our former FirstService Residential management and FirstService brands operating units. The transaction itself will be structured as a tax free distribution to shareholders and is conditional upon shareholder and court approvals as well as conformation of the tax free nature of the transaction. I will assume the role of Executive Chair at Colliers and be the Chairman of new FirstService Corporation and will continue to control and provide stewardship to both companies over the long term. Scott Patterson will become the CEO of FirstService Corporation and John Friedrichsen will become the CFO of Colliers and all other key executives will remain in place. Why are we doing this? Well when you think about it, each company Colliers International and new FirstService Corporation have distinct brands, they have distinct customers, they have operating characteristics that are different and obviously have different industry dynamics. Falling this separation each will be more focused on its core markets and opportunity and will have the flexibility to pursue their own independent valuation, creation strategies. They will also be able to implement distinct capital allocation structures and better align their management teams with shareholders. From a shareholder point of view, each will also attract appropriately investors to the appropriate company while offering better comparability to their publically traded peers and of course each investment will create different but yet compelling investment opportunities for shareholders. Now let's take a quick look at Colliers International. In addition to being a highly regarded international brand in commercial real estate, Colliers is one of only three players that has global capabilities. Colliers is more than 16000 professionals operating for more than 500 offices in 67 countries around the world and over the past 10 years it has been the fastest growing company in commercial real estate by almost any measure. It's revenues are balanced geographically with about half of its revenues coming from the Americas and about 25% each in Europe and Asia Pacific. Colliers also has significant growth opportunities, opportunities that are global in nature. This is an industry that’s huge and is still very fragmented. The top five players have only 14% of the global market which now exceeds $150 billion a year leaving tons and tons of opportunities to grow. And perhaps most importantly the Colliers management team is one of the most experienced and tenured in the industry. John and I have been working together with Doug Frye and his team for more than 10 years now. We know the industry, its competitors, the opportunities and we also know how to navigate and take advantage of choppy waters as we have seen in the past. Colliers financial performance has also been impressive, 2014 pro forma revenues were about $1.7 billion with EBITDA of about 160 million that’s up from 250 million 10 years ago when we first acquired the company. Over the last five years alone Colliers has grown revenue at a compound annual rate of more than 18% and EBITDA by more than 50% with EBITDA margins up almost 600 basis points during the same period. Now let's take a closer look in another amazing business new FirstService Corporation. Standalone as I mentioned it will be the North American leader in residential property management, but it will also be a leading provider of essential property services delivered through well-known franchise brands. The beauty of this business is that 85% of its revenue come from predictable recurring contracts that have extremely high retention rates. It's a business that also generates very strong cash flows and has modest CapEx requirements which will allow us to pay a healthy dividend providing additional yield to shareholders. And FirstService also has significant growth opportunities both internally and through acquisition and it can also grow by leveraging its scale and other differentiators to bring greater value and a higher level of service to its customers. The management team, well it's also very strong. In addition to Scott Patterson, and the new CFO, Jeremy Rakusin, FirstService Residential continues to be led by Chuck Fallon and Charlie Chase will continue to drive things at FirstService brands. Financially, this is a business that you could always take to the bank. 2014 pro forma revenues for FirstService exceeded 1.1 billion for the year with EBITDA of about 85 million, over the past five years FirstService grew its revenues at a compound rate of about 11% with EBITDA growing at about 8%. Now let me turn things over to John to provide an outlook for 2015 to discuss the proposed capital structure that we anticipate and to summarize. John?
John Friedrichsen: Thank you, Jay. Full year 2015 expectations are in the slide, I will note that these assumptions do not include the impact of any acquisitions which may be completed in 2015 and we certainly do expect to complete some. For Colliers International revenue growth, our expectations are for high single digit percentage increase in local currencies, for Colliers International the adjusted EBITDA margin we expect will be in the high single digit consistent with where it was in 2014. With respect to FirstService revenue growth expectations are low double digit percentage increase pretty consistent with the 10% increase experienced in 2014. With respect to margin, FirstService margin will be again somewhat consistent with where we finished in 2014, high single digit margin for FirstService. Balance sheet leverage, Colliers expectation is 1 to 1.5 on a net debt to adjusted EBITDA basis whereas FirstService we’re targeting a 2 to 2.5 times net debt to EBITDA, leverage ratio and which will likely trend down overtime to the lower end of the range. Effective tax rate at Colliers at 29 - a range of between 26% and 29% and FirstService in a range of 30% to 33%. In regard to capital structure on the next slide, in separating Colliers and FirstService we believe different capital structures are necessary to finance operations, growth opportunities and ultimately to optimize return to shareholders. Colliers are more diverse geographically, the commercial real estate business is inherently more cyclical. We also believe that acquisition opportunities will be somewhat larger in size than those pursued by FirstService. Accordingly we set a leverage range of 1 to 1.5 times net debt to adjusted EBITDA. FirstService with its highly recurring revenue and limited cyclicality will continue to pursue a growth strategy that includes strategic tuck under acquisitions while maintaining the current $0.40 annual dividend currently paid by FirstService. Based on these characteristics we believe leverage in the range of 2 to 2.5 times is optimal for this business and expect this leverage to trend down overtime. In summary our plan will create two strong, independent publically traded companies each with strong cash flows, substantial strategic and market building growth opportunities, spun off to shareholders on a tax free basis. Both Colliers and FirstService will be top tier players in their respective commercial real estate services and residential property services markets and will benefit from a simpler, more focused story and enhanced capital markets access and visibility. The companies will be capitalized and with a continued focus on growth both internally generated and through acquisitions. There will be continuity and executive leadership with a highly engaged team significant level of equity ownership and focused on continuing a track record of success and building shareholder value. In the interim it's business as usual, but with a plan to complete this transaction in the second quarter of this year. That summarizes the transaction and with that I will ask the operator to turn the lines over to questions
Operator: [Operator Instructions]. First question comes from Frederic Bastien of Raymond James. Please go ahead, Frederic.
Frederic Bastien: I was wondering if you could talk about any other value creating strategies you might have contemplated, and what made you decide interior of the current arrangement?
Scott Patterson: As you would know, Frederic, the fall of us for a long time, we look at value creation strategies, two to three times a day, maybe more. So we've always been looking at opportunities to enhance shareholder value. But it became clear to us several years ago that if we were able to build the size and scale of both of these two divisions; FirstService and Colliers, they both would naturally be standalone public Companies and for somewhat different reasons. And we came to the conclusion that now it is the right time given the size and scale of both, the strong management teams that we had in place that this was the ideal structure for us and decide it now is the time to execute.
Frederic Bastien: With respect to Colliers, you finished 2014 with EBITDA margins just shy of 10% at Colliers and yet in your slide deck you guided for single digit EBITDA margins. I assume that's because it takes into account the allocation of corporate expenses, but wonder if you could provide us sort of what your margin and expectations on apples-to-apples basis, do we see another 50 beats improvement or perhaps even better in 2015?
Scott Patterson: Frederic, it does reflect the corporate cost split, but it also reflects a change in mix with the addition of AOS and other acquisitions that have margins that are in the 10% range or slightly less. I think that our movement to close to 10% has been rapid and any improvement from here will be incremental and will reflect operating leverage as we grow but also sensitive to change in revenue mix.
Frederic Bastien: Okay. And, Scott we got you on the line. I recall hearing you guide to - I may have been wrong, recall hearing you guide to a margin of 7% to 7.5% FirstService Residential and it sounds like you're guiding slightly lower is that based on the higher benefit costs?
Scott Patterson: Based on what, sorry?
Frederic Bastien: The higher medical or the benefit cost.
Scott Patterson: It really reflects our ongoing investments in the operating platform which will take us through 2016 and it continues and I think more complex and more costly than original expectation, but we're confident in our direction and we're moving in the right direction.
Frederic Bastien: Okay, last one for me, perhaps maybe for John. Where have you exit 2014, I think with a net debt position of just over $330 million, how much of that is that attributable to Colliers?
John Friedrichsen: Attributable to Colliers roughly, little over onetime slightly over one times their EBITDA, so $100 million to $200 million range.
Frederic Bastien: Okay and what about corporate expenses, you had $32 million in EBITDA or elimination, I mean is that - how does that stack up?
John Friedrichsen: Sorry, can you repeat the question? In terms of the - you are talking about corporate overhead?
Frederic Bastien: Yes, your EBITDA elimination was $32 million for the year, how much of that would be going to - how would you split that between Colliers and the rest of the business?
John Friedrichsen: I don't know where the $32 million is coming from, but I can tell you that roughly about 60% of the overall corporate costs are going to be - at least our estimate at this point would be attributable to the Colliers business.
Operator: All right. Our next question comes from Sami Abboud of Scotia Bank. Please go ahead Sami.
Sami Abboud: My first question is on the timing of the closing of the spin-off transaction in Q2. Do you foresee any major hurdles; say for example, the tax rulings in Canada and the U.S.?
Jay Hennick: There is always a potential, but we have been in constant contact with both taxing authorities and we believe that we're on track. There is no, there is no guarantee of course, but our transaction is relatively straightforward and we're hoping that, that will get reflected in the timing we anticipate.
Sami Abboud: Okay. And the 2015 guidance for FirstService Corporation's revenue growth is in the low double digits. If I remember some of the comments made, is that mainly due to the strength in Property Services or may be a little more color on where the growth is expected to come from?
Scott Patterson: We closed 2014 with brands up 10% and FirstService Residential up 10%, when you taking into account of that. So really we just see 2015 is a continuation and we think 10% is a reasonable target or slightly above.
John Friedrichsen: And FX probably Scott, would have an impact in 2015 as well.
Scott Patterson: Small impact, yes.
Sami Abboud: And my last question would be on the Colliers side, now the Colliers is a standalone company and maybe to bring it closer to its peers. Would you look to add portfolio management and advisory services to Colliers or the investment management services that Colliers doesn't have that competitors to have?
Scott Patterson: There is just tons of opportunity that's one of them. Our focus over the past number of years has been to continue to strengthen our core service business, but obviously that is one of many future growth opportunities I think for Colliers on a standalone basis.
Operator: All right. Our next question comes from David Gold of Sidoti. Please go ahead David.
David Gold: Got just a couple of questions for you, first can you speak a little bit on the Collier side, when you talk about pipelines healthy into January. Just more broadly can you give a sense both from a capital markets and leasing perspective and also geographically speaking. Have you seen any effect on transactions in the currency shifts and sort of more broadly just any color you can give on the pipeline stability momentum?
Jay Hennick: Well, we're seeing continued strength certainly and the capital market pipelines are strong in all three regions and we expect a strong Q1 in capital markets. In terms of the leasing environment again, similarly we're seeing strength. In terms of anything we're seeing that is causing us deposit the oil prices in Calgary and in Texas, we're seeing some deferral and then obviously the increase in uncertainty in the Eurozone very hard to quantify at this point. We finished very strongly in the UK and Germany, the Netherlands, Poland and we believe that that will continue, but it's real time in Eurozone right now. So time will tell.
David Gold: And then when we think about the split, presumably I think one of the justifications there is that maybe it makes it easier to focus on acquisitions that are more specific in different businesses, can you give a sense for how you might look at acquisitions differently if you will sort of post-split?
Jay Hennick: I think there is - specifically as it relates to acquisitions, I think the discipline that we've used in building the Colliers business acquisition wise would continue. I don't see any change in that at all. In fact, in many ways given the strength and the continued momentum of Colliers on a global basis, we're seeing more and better opportunities at more realistic valuations. So we're excited about that. The Collier standalone having the ability to utilize its balance sheet to either raise debt capital or equity capital or in the case of particular acquisition opportunities where the seller wants to acquire as part of the transaction shares in standalone Colliers all creates additional flexibility for us going forward. So we see all of those things as good things.
Operator: Our next question comes from Stephen MacLeod of BMO Capital Markets. Please go ahead, Stephen.
Stephen MacLeod: Just wanted to clarify a couple of things particularly surrounding your 2015 full year expectations, do the Colliers and FirstService margin expectations include the allocation of corporate expenses?
John Friedrichsen: Yes.
Stephen MacLeod: Okay, great. And then with respect to leverage John, I think I understood you to say that at FirstService you would expect leverage to be at the higher end of that range and does the same apply for Colliers business in a post-split world?
John Friedrichsen: Yes. I think post-split, if we were affected in Q2, probably in that range. I think in the mid-range probably for FirstService and Colliers may be a little bit on the high end of the range only because of seasonal factors which impact that business in Q1 and into the early part of Q2. So that's where we would see it.
Stephen MacLeod: And then just also on the Q4 numbers, why did the non-controlling interest purchase has increased in the fourth quarter, was there anything - is it just seasonal or is there anything specific behind that?
John Friedrichsen: No just timing, really, nothing behind it.
Stephen MacLeod: And then just when we look out on FirstService Residential and FirstService Brands, Scott do you still view the March back to 10% margins in FirstService Residential a few years out. And then secondly on FirstService Brands, last quarter you spoke a little bit about some margin deflation as you acquire more franchises, are those two factors still goes with your expectations?
Scott Patterson: Yes, I would say that the mix at FirstService Residential will temper our drive towards 10%. A key trend that we're seeing is the strong growth in our highlights management business which carries a heavy onsite labor component for services like janitorial, front desk, security, engineering. These services are generally priced separately from management and carry a lower margin in the high single-digit range. It's recurring contractual revenue with a predictable margin to track the business and we'll be looking to aggressively grow in this area, but it is generally a lower margin. So that will serve to temper our FirstService Residential margin.
Stephen MacLeod: And then with respect to FirstService brands and franchisees, is that something you continue to pursue?
Scott Patterson: We finished the year close to 18% and I would expect a similar level in 2015 and it largely depends on how aggressive we are in buying our - some of our larger franchisees in California Closets, so it will be safer mix, it will stay at a similar level to what we experienced in '14.
Operator: Our next question comes from Stephanie Price of CIBC. Please go ahead, Stephanie.
Stephanie Price: I just wanted to circle back on the FirstService Corporation revenue growth expectation for 2015. So the low double-digit percentage increase, does that include sort of the FX headwinds that we could be thinking about for next year or is that sort of separate?
Scott Patterson: The FX really only relates to our Canadian operations at FirstService Residential and so we wouldn't expect that to significantly impact us.
Stephanie Price: And then in terms of FirstService with the split, is there any sort of cost synergies or increased cross selling that we could be expecting within that division or is it going to be similar to the past where there are two divisions are operated more or less separately?
Scott Patterson: Similar to the past.
Stephanie Price: And then John, maybe one for you on non-controlling interest, can you kind of breakout how should we, should be thinking about that between Colliers and the rest of the business?
John Friedrichsen: Let me just try and gather up for it. The non-controlling interest at the end of the year at Collier was about $150 million, out of that total and the balance is attributable then to the Residential and Property Services.
Stephanie Price: And maybe just one more blue sky on margins in Colliers. Can you talk a bit about with the AOS acquisition margins; they were a bit lower than the rest of the business. Is there a way to improve the past - of those margins to improve or is it just the business, is different in terms of the property management?
Jay Hennick: I think with the existing mix, it will be incremental growth from here, any changes there are material will result from mix.
Operator: Our next question comes from Anthony Jin of RBC Capital Markets. Please go ahead, Anthony.
Anthony Jin: Just wanted to go back on some of the pro forma numbers more specifically related to Colliers. Are those pro forma numbers including the FX impact or is that just trailing 12 months adding the acquisitions today?
John Friedrichsen: No, it includes FX.
Anthony Jin: Includes FX, okay, great. And then on non-controlling interest, I mean, Jay, I believe you alluded to the ability to issue shares for potential acquisitions. Would you see a shift away from NCI and more issuance of shares or 20% ownership by the entrepreneurs?
Jay Hennick: No, not at all actually. The FirstService philosophy of partnership which has really been the glue that's helped build our organization will in effect be bifurcate between the two organizations. I believe both will continue to operate with a very strong partnership philosophy, especially in the harder places, new regions, areas where we believe that the operating management team will have a material impact on the future. However, there may be situations where senior management members or retiring partners have the opportunity to sell the balance of their equity and their business when it's time for them to retire in return for shares of the parent company. So the partnership philosophy is alive and well and won't change.
Anthony Jin: Now if I can shift gears on to the residential side of the business. Over the past several months and I encountered few pretty management wins [ph] including couple of competitive displacements. I was just curious about the revenue ramp-up and how the margin profile looks over the call it 12 or 18 months of progression. Can you add a little color on that?
Jay Hennick: I don't think our organic revenue growth is any greater in the last a couple of quarters than it has been in the last couple of years. Again our expectation is that similar growth in 2015 as we experienced in '14 and the impact on the margins will - we will certainly gain some operating leverage from those wins as we have historically, but right now we've margin is a bit blurred with our ongoing investment in the operating platform. And once we get through that in 2016 and we start to realize the full benefit of the centralization of certain key functions that margin will start to move.
Anthony Jin: Okay. So we're really looking at marginal improvements in the margins until really after the IT investments are completed.
Jay Hennick: Right.
Operator: Our next question comes from Brandon Dobell of William Blair. Please go ahead, Brandon.
Brandon Dobell: I just wanted to come back to a question on the residential side, the FirstService side for 2013 growth, it talk about a couple of things that drive the growth picture but maybe a little more specific on how we should think about some of the bigger drivers. This is precisely beyond just volumes of franchises, but what kind of growth rates should we think about for different businesses organically, maybe some color around price versus volume, ancillary services expectations just like given how things have progressed through 2014. How should we think about those drivers in 2015 as well?
Jay Hennick: Well starting with residential, key component of our organic growth as contract wins of new development, self-managed communities that are transitioning to professional management and market share gains. That will be in the high single-digit range. It has been for several years, we expect that to continue. Adding to that, we're always working on tuck-under acquisitions, that are additive. In brands, the growth driver is the growth of our franchise systems royalty revenue growth and the big drivers have been California Closets, Paul Davis Restoration and CertaPro Painters. They all grew double digit this year. And we expect that to continue in 2015 and so, organically, we will be in the high-single digit range with tuck-under is taking us to counter slightly above.
Brandon Dobell: Okay. Shifting over to Colliers for a second, some sense of what head count additions look like in 2014, is there an expectation for similar growth? Do you a plan step up the recruiting efforts as a separate company?
Jay Hennick: 2014 finished strong in terms of recruiting, particularly in major markets in the U.S., New York City and South Florida, in the fourth quarter. I think that we had 70 producers with some high profile names amongst that group. The other area of focus for us and another area we had a very strong year in terms of recruiting with that was London, and New York City and London will continue to be a key focus in terms of recruiting heading in the 2015.
Brandon Dobell: Okay. I think I know the answer to this but I just want to confirm, it doesn't sound like the transaction is going to change anything or accelerate any minority interest, position changes, i.e., somebody had a clause in their deal if there was a change in control or change to the corporation, there would be an acceleration of a transaction that buy out the rest of the ownership, particularly in Colliers. Just want to make sure I get that. It doesn't sound like there is going to be anything like that, but I want to make sure I confirm that.
Scott Patterson: That's right. There is no acceleration.
Brandon Dobell: Okay. And then as you think about Colliers' affiliates globally, are there any particular areas where you feel that your platform could support a lot more transactions, a lot more people, but the affiliate structure just been really challenging to get organized.
Jay Hennick: Well, that's a good question, Brandon. The affiliates program now for us represents maybe 20% of global revenues for Colliers, 20% to 25%. So it is an important element of our growth strategy, but it's really a small piece. There is obviously some great affiliates out there that have very strong businesses in different geographic regions that we would cover to have as part of our organization. We believe that this transaction will help to facilitate that. But as you've seen that over the couple of years, most of the acquisitions - actually I shouldn't say that, at least half of the acquisitions have been of strong affiliates in different geographic regions, but the other half has been from large, high quality commercial real estate service professional firms in different geographic regions that helps to fill out our service mix or market share in a particular market. So, we're open for business for all and the affiliates are just one engine for growth in terms of acquisitions for us.
Brandon Dobell: Okay. And finally question from me. From a Colliers perspective, I guess looking at the underlying fundamentals within investment sales and leasing, do you guys see any markets or perhaps property types where - you're starting to feel nervous about the fundamentals, are there prices that clients are paying for buildings or for rents or capital structures just sort of put on buildings. Just trying to get a sense of how your guys are thinking about where we are in the cycle, especially there is any geographic differences and how that question will be answered?
Jay Hennick: I think the only real concern today would be the Eurozone and just really seeing how that plays out over the next several months and the impact that might have on an area that was we're covering nicely.
Operator: Our next question comes from Mitch Germain of JMP Securities. Please go ahead, Mitch.
Mitch Germain: Jay, I just wanted to go over something, I think you said earlier with regards to the acquisition environment. I think you used the term realistic pricing, if you could just - it seems a bit contrary to what we had heard from other management teams in that space. So if you can just maybe go over that, I would appreciate it.
Jay Hennick: Well, yes. When I say realistic pricing, I believe that when you're acquiring a commercial real estate firm, particularly in the United States, the key is the culture mix between the potential target and Colliers. And we've found increasingly that the targets that we have joined forces with really want to be part of our global platform, really want to participate in being part of a special organization that's enterprising in the way it carries on business. So although pricing is always a factor and we need to be competitive in some areas, when you're talking about core brokerage operations, pricing really becomes in some respects a secondary issue. Will the professionals do better by being part of Colliers and they might otherwise on their own? So personal compensation being better at Colliers than on their own and we're finding increasingly that, that is the case. The other thing that we're finding is that there is a great opportunity to expand our ancillary services and those types of transactions come at a different pricing level which are both create great cross-selling opportunities, serve the same client base and yet offers us to really differentiate ourselves among clients. So for example, AOS in France is the absolute global leader in workplace solutions that expertise is now being transferred and we believe that it will enhance our practice around the world, and really differentiate Colliers from some of its peers.
Mitch Germain: And just final one for me, your time 12 hours, Colliers 12 hours FirstService. How should we think about that?
Jay Hennick: Scott is on the phone. So I guess he would say, you should spend a 11 hours and 45 minutes with Colliers and 15 minutes in his world, that's what he would say.
Operator: So there are no other questions at this time.
Jay Hennick: Okay. Ladies and gentlemen, thanks for joining us. This is very exciting. We look forward to a brilliant future and lots of work to do, but as John said in his comments we'll continue to manage FirstService prudently until everything is in order for this separation and we look forward to the next conference call. And frankly I don't know whether it's a FirstService conference call or it's one that is both FirstService and Colliers. So thank you for joining us.
Operator: Ladies and gentlemen, this concludes the fourth quarter year-end investor's conference call. Thank you for your participation and have a great day.